Operator: Good afternoon ladies and gentlemen. We are now ready to begin the MoSys fourth quarter 2007 financial results conference call. (Operator Instructions). And I will now turn the call over to Ms. Beverly Twing of Shelton Group, Investor Relations. Please proceed.
Beverly Twing: Thank you, Michelle. I am joined on today's call by Len Perham, President and Chief Executive Officer and Jim Sullivan, Chief Financial Officer. By now, everyone should have received the press release. However, if you haven’t, it is available on the MoSys website at www.mosys.com. Before we begin today’s discussion of the fourth quarter and fiscal year financial results, I would like to remind you that this conference call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, which include without limitation statements about the market for the MoSys technologies, benefits and performance expected from use of the 1T-SRAM, 1T-FLASH or mixed signal technologies, licensees of 1T-SRAM technologies and their strategy, the development and production of products that use MoSys’ license technology, license fees and royalties attributable to 1T-SRAM, 1T-FLASH and analog mixed signal technologies and the Company’s anticipated or prospective financial performance. Forward-looking statements made during this call are subject to risks and uncertainties that could cause actual results to differ materially from those projected. Additional information concerning factors that could cause actual results to differ materially from any forward-looking statements made during this call are contained in the company’s most recent reports on Forms 10-Q and 10-K filed with the Securities and Exchange Commission, in particular in the section titled Risk Factors, and in other reports that the company files from time to time with the Securities and Exchange Commission. MoSys undertakes no obligation to publicly update any forward-looking statement for any reason, except as required by law, even as new information becomes available or other events occur in the future. Thank you for your attendance. I will now turn the call over the Len Perham. Go ahead, sir.
Len Perham: Good afternoon everyone. This is Len Perham, CEO of MoSys. I'm going to give you a short talk here; a brief overview of the company and then turn it over to Jim Sullivan, our CFO, so that Jim can give some details on the numbers. First, starting with a few comments about our most recent press release here, the fourth quarter of fiscal '07 the revenue was about $2.9 million and in the fiscal year '07, revenue was approximately $14.3 million. And in our fiscal year 2007, royalty revenue was approximately $9.1 million, a 56% increase over fiscal year 2006. License revenue for fiscal year 2007 was $5.3 million. Well short of plan, and we are expecting to do much better in fiscal year 2008. We ended fiscal year 2007 on a strong cash position, approximately $78.7 million on hand. As I mentioned, Jim is going to give you more details on this numbers in about 10 minutes or 15 minutes, so let me just go over a few points that I think are worth mentioning regarding the company. First, I'll just talk about what I see as my priorities. I've been here approximately one quarter now, I think I joined the company on November 9th. So, the first priority is organization; organizing the company, pulling the team together and focusing our efforts. We need to bring this company back up to full strength. In the last half of fiscal year 2007, we saw the loss of our CEO, CFO, CTO, COO and VP in sales among others, and a company cannot loose that kind of staffing without being hurt. When I got here, morale was very low and I am sure productivity was pretty much down on the floor. Over the next short while, we are going to be adding talent in the following areas, as quickly as we can find the right people and as quickly as we can integrate them to into our team. We need increased applications in customer support engineering so that we can spend more time with our customers to understanding what its future needs are. We need to continue to look at our sales, our sales organization. We want to achieve adequate team depth and strength and we want to achieve better coverage and support across the universe occupied by our customers and the potential customers. We're going to want a strategically increase in size of our R&D staff so that we can expand product offerings and continue to innovate in our target markets. Winning at this business or winning at a high-tech business for sure require stating organizing and deploying in such a fashion that you can achieve your strategic plan. We've now spend a quarter intensely looking that what our plan ought to be, especially for 2008. We do have a plan and we're intending to execute it successfully. So we'll be telling you about what we're doing to get the team in place and getting the focus right in the quarters ahead. But, I look forward to that taking a back seat; there are other things more important involving customer's product and technology. The second priority I see is sales and customers and business relationships. We need a much higher level of communication and interaction with our customers. To that end, by the beginning of the third quarter this year, my schedule will be such that I will be out of country at least one third of each subsequent 12 months period; learning what the customer needs, what his product directions are, what his relationship with us is and what he and I would like it to be. We must know and understand our customers, the product roadmaps, so that we can have the right determinant solutions for him, today, tomorrow and into the future. It's going to be our goal in every market that we are in, to be a strategic supplier, a supplier of products that determine our customer's end system performance. We want to become very important to him. We will develop a much higher level of discipline from the customer's desk, all the way through the completion of product development. The company will learn the true meaning of commitment, making them and then making them happen. This has to be one of our highest priorities, because we want to build a reputation as the IP company to do business with. We need to provide better coverage, both business and technical across the entire universe occupied by our customers and other folks that we would like to have as our customers. We want the foundries to become our partners. We really have the same mission that is serving the same customer and shrinking the customer's time to market, minimizing his aggravation and getting the right product at the right time for the right cost. It's a natural for us to partner with our foundries and to that end, I will be spending a fair bit of time working on that problem and developing those relationships. The third area of focus is products and technology development. I am not doing so much of that this first quarter and with the company and perhaps not too much the second quarter. I expect to make very good progress on those first priorities, first and second priorities and with that done, we will turn more attention to this item three, products and technology. There is much going on in this area, but for today, I am just letting you know that behind number one and two, this should get the most of my attention starting sometime in the third quarter. So that covered, let me just talk about the couple of highlights. As I mentioned earlier, I joined the company on November 9th, today it’s approximately one quarter later. Our fiscal year 2008 offering plan was approved last week by our Board of Directors, and it is a substantial step up from fiscal year 2007 results. Our recent acquisition has more than doubled our headcount and we have now emerged in the challenges of integrating the two teams together. We're making good progress and we look forward to our teams married together well by the second half of this year. We're currently tracking close to $10 million of new business, and that business is coming towards from several directions. Great business from our existing customers and our existing customers using the 1T-macros, so the point here, the underlining point is, there's a lot of legs left in the IP that created the company in the first place, it’s the solution whose time is still here. It's got a long life left and we're considered the serious and important player to our customers in this area, 1T-SRAM macros. Business is coming towards us in a second direction. It's driven by our new display driver system solution macros, and I'll talk a bit more about that here in another moment or two. And finally, we have business coming our way as a result of our recent acquisition. There is lots of activity going on in our mid-single group, internally and externally and we expect it to make a significant contribution to our revenue in this fiscal year. We have now booked several orders for our new display driver system solution Macros and are in serious discussion with several other early adopters. It's very gratifying for me to see this early on success, and one of these orders is quite a large order and it has opened up new relationship with us, with another significant and important foundry. Several traditional customers are now collaborating with us on 1T-SRAM macros at the 40 and 45 nanometers nods. This is another indication of the remaining life and legs in our traditional IP. Lots of opportunities for important large macros 1T-SRAM macros to solve important systems level problems for our customer in the years ahead. Qualification of our new 1T-FLASH technology continues on track. We have made great progress on qualifying and releasing the technology and we should have a significant amount of live testing completed in the technology well certified by mid May. We're testing and qualifying the technology at 0.13 to 0.25 microns and the work is primarily being done, initially at a 130 nanometers, 0.13 microns. Finally, first silicon our new integrated front end for the Blu-ray and HD DVD market is out of FAB and in packaging. We are on track to have that product well into characterization by the end of the first quarter, the quarter we're in today and we remain very optimistic that this is going to be a really exciting product, this is a home run opportunity for us and we're moving as fast as we can possibly move. That said I’m going to turn it over Jim, let him talk to you about the numbers a bit and then we'll open to questions and I'll come back and make the few final remarks and we'll hang it up. Jim.
Jim Sullivan: Thank you, Len and thank you to those attending the call today. During the course of my upcoming comments I'll make several references to non-GAAP numbers. Unless otherwise indicated, each reference will be to an amount that excludes stock-based compensation expense, intangible asset amortization and other one-time charges as noted. These non-GAAP financial measures and reconciliation of the differences between them and comparable GAAP measures are presented in our press release and related current report on Form 8-K, which was filed with Securities and Exchange Commission today and can be found at the Investor Relations section of our website. With regard to the results for the fourth quarter, total revenue for the fourth quarter of 2007 was $2.9 million, this compares to $4 million for the third quarter and $5 million for the fourth quarter of 2006. Royalty revenue for the fourth quarter was $2.5 million, as we continued to recognize additional revenue associated with the Nintendo Wii game console. This compares with $2.4 million in royalty revenue for the third quarter and $3.2 million for the fourth quarter of 2006. Royalty revenue during Q4 was recognized from 18 different customers. License revenue for the fourth quarter of 2007 was $388,000, compared to $1.5 million in the previous quarter and $1.8 million in the fourth quarter a year ago. Under GAAP, the gross margin percentage for the fourth quarter was 72% compared to 83% for the third quarter and 88% for the fourth quarter of 2006. The decline in gross margin for the fourth quarter of 2007 was attributable to the cost overrun on the non-recurring engineering efforts in one contract for a large customer. Total operating expenses were $7.7 million for the fourth quarter compared to $7.3 million for the previous quarter and $4.6 million for the fourth quarter of 2006. Operating expenses include the $1 million in stock based compensation charges and $197,000 in amortization charges related to the third quarter acquisition of the analog and mixed-signal design teams from Atmel Corporation. In selling, general and administrative expense included approximately $165,000 of separation cost related to our former CEO and CFO and approximately $195,000 of bad debt expense attributable to one customer. Research and development expense included approximately $1.7 million attributable to the analog and mixed-signal design teams, which included approximately $500,000 charges for 13 period bonuses and takeout charges for our high definition DVD mixed signal front end IP. On a non-GAAP basis, operating expenses for the fourth quarter were $6.5 million, compared to $5.4 million for the previous quarter and $3.9 million for the year ago quarter. Non-operating income was substantially comprised of interest income and totaled approximately $1 million compared to $1.2 million for the previous quarter and $865,000 for the fourth quarter of 2006. On a GAAP basis, the net loss for the fourth quarter was $4.6 million or a loss of $0.14 per share and includes stock based compensation and amortization charges of $1.4 million. This compares to a net loss of $2.8 million or $0.09 per share for the previous quarter and net income of $567,000 or $0.02 per diluted share in the fourth quarter of 2006. Net loss per share for the quarter on GAAP basis was computed using 32,117,000 shares. On a non-GAAP basis, the net loss for the fourth quarter was $3.2 million or $0.10 per share and excluded stock based compensation and amortization charges of $1.4 million. Net loss per share on a non-GAAP basis was also computed using 32,117,000 shares. With regards to the results for fiscal year 2007, total revenue for the year was $14.3 million compared to $14.9 million for 2006. License revenue for the year was $5.3 million compared to $9.1 million for the previous year. Total royalty revenue for 2007 increased 56% year-over-year to $9.1 million compared to $5.8 million for 2006. Now, turning to the balance sheet, as of December 31, 2007, our cash, cash equivalent, and long and short-term investment balance was $78.7 million compared to $85.6 million as of September, 30, 2007, an $84.3 million on December 31st, 2006. Cash expenditures during the fourth quarter of 2007 included approximately $4.4 million for the repurchase of approximately 785,000 shares of our common stock under the company's existing repurchase plan. During 2007, we've repurchased a total of approximately 883,000 shares for total cost of approximately $5.1 million at an average price of 5.69 per share. Accounts receivable at the end of 2007 totaled $895,000 compared to $829,000 as of September 30. This increase is within the normal range of quarter-to-quarter fluctuations. This concludes my prepared remarks. At this time we would like to open the calls for a question and answer session. Please clearly state your name and company affiliation prior to asking your question. Operator?
Operator: (Operator Instructions) Your first question comes from the line of Jamie Zimmerman of . Litespeed Partners. Please proceed.
Jamie Zimmerman: You said that there was $9.1 million of royalty revenue this year, and that came from 18 customers. I believe that more than half of it is from Nintendo, can you tell us who else is paying royalties and what you expect them to be going forward?
Jim Sullivan: The 18 customers, that was the account total for Q4, which was exactly the same as for Q3. In addition to in Nintendo Wii console, our other royalty customers including TSMC and a number of others. We don't provide specific guidance on a customer basis, the royalty looking forward, but obviously, it is our expectation that particularly with regard to TSMC and some of the other players in there, that we will see significant increases in 2008.
Jamie Zimmerman: We were supposed to see significant increases in 2007. So I am just curious, are those 18 people new then to the second half of 2007? Were they here in 2006? And what do you mean by significant?
Jim Sullivan: So in 2007, we entered into a general, I am going to call it general-license agreement with TSMC, and TSMC was then in a position to configure macros for their customers where they saw fit, and where they have the talent to do it themselves, and they did not continuously negotiate with us on licenses. The end result of that is then to make TSMC a bit much more successful and much more aggressive about implementing our technology into the systems solutions that their customers need. And we saw a significant increase in revenue '07 over '06 to TSMC. I would say something greater than five times, with the strongest quarter by far being the fourth quarter, and I would expect that we would continue to see TSMC grow through 2008 and beyond that we have several other exciting products that are being brought up in other foundries, and I would expect that we are going to see other companies moving up also. It's true that Nintendo has been very important and continues to be very, very important to us and that for sometime they will be significant, probably the largest royalty-bearing customer we deal with. But I think there are others that will start getting much larger.
Jamie Zimmerman: Can you tell us, exactly what TSMC was responsible for, in 2007?
Jim Sullivan: TSMC doesn't give us a breakdown of that, and so probably it would be speculation on my part. I probably shouldn't speculate on their customers.
Jamie Zimmerman: No, I am just asking what -- how much of our license fees, how much of our royalty fees came from TSMC, how much of the $9.1 million?
Jim Sullivan: Probably, I'll have to think about that a while, to share that, but I would say something, probably in the year, it might have been, may be, slightly greater than 10 so percent and then in the fourth quarter. I haven't done the calculation, but it would probably be much more than that.
Jamie Zimmerman: But less than $2 million or so?
Jim Sullivan: I don't think I'll bother to answer that.
Jamie Zimmerman: Well, that's -- I'm just trying to understand where the revenues are coming from.
Jim Sullivan: I think you should expect that the window of opportunity for 1T-SRAM macros is open as the United States try to figure out how to adopt IPv6, and as personal computers and telephones and television, they are trying to have a resolution on screen equal to these games. And that we're going to see more and more customers finding that the solution to their systems needs and are using our macros and we should be slightly optimistic that royalties in the company would increase year-over-year and be strong for the foreseeable future.
Len Perham: And I guess that addding to that doesn't counting what success we might have with our mix signal products going forward?
Jamie Zimmerman: Were there any royalties from SNIC in 2007?
Jim Sullivan: Not yet.
Jamie Zimmerman: Do you expect them to be a customer in 2008?
Jim Sullivan: That would be speculative. Next question please.
Operator: Your next question comes from the line of Larry Lytton of Second Line Capital Management. Please proceed.
Larry Lytton: Len, your predecessors at times characterize the size of the market, the size of the opportunity for this various technologies, do you have sense of that would you want to share that?
Len Perham: Actually, Larry I haven't tried to quantify that. I think it's safe to say that there is a considerable opportunity for us, if I think about it in four pieces, maybe I will try to address in that way, the 1T macro, which was primarily the revenue-royalty license there in product that my predecessors had is a market that’s expanding as people go for high and high resolution, and the Internet tries to handle more and more complexity and graphics and high-speed games and so on and so forth and personal images so on. So I think we should expect to that business is going to grow substantially and that our opportunity to grow the company's several time of size it now without having to taken a normal amount of share there should not be out of question. Then if I talk about the first-system solution macros or application specific macro, which would be our display driver, we booked our first several significant orders in this quarter and we are in negotiations and discussion with the several other customers at this point, and negotiations and discussion with several foundries that would like to have that capability to offer their customers. And I think we already have other application specific to some solution macros being discussed at our product planning and technology direction meeting. So I think that we could see a lot of opportunity there, this is a very embryonic place for us or area. The 1T FLASH is what will call a platform technology like 1T macro that we initially started the company around. The 1T-FLASH is going to be a very strong business, the wind of opportunity for Flash is open now, and we haven't even really got around to thinking about applications specific opportunities for uniquely configured blocks of Flash. And we've about it, but we really haven’t put pencil to paper. Our acquisition brought us both communications and connectivity IP in the form of Gigabit buys and Serial ATA products, maybe Rev1, Rev2, not to mention a completed, a fully-integrated front end for the Blu-ray and HD DVD business. That’s a very huge market. And I see that, hopefully generating a fair bit of revenue for us in this calendar year. So on and all, Larry, I would think that I don’t have a good answer, but I won’t come to this meeting again without one. I will look into that, so I give you better answer, but you should be comfortable if you are interested in our company and now that you are there is opportunity for us to grow lot in the space and bring a lot of value tour shareholders and a lot of value to our customers as well.
Larry Lytton: Now, Len, I appreciate that, but you have to understand I am very interested in the company as a lot of people on this call are, but we have become very poor being very interested in this company. So there is some hostility towards you because of a lack of delivery and certain lack of accountability. With that in mind, you singed off on an '08 plan, the Board has signed off, you have a certain level of optimism. Can you share anything more specific about revenue growth or cash-flow growth for calendar '08?
Len Perham: We had said on our previous call, that for the time being we weren’t going to give guidance quarter-to-quarter until I could get a better understanding of why a very bright guy, he missed it nine times in a row before me. And so we are going to do that, and I can tell you that the plan that we approved is a dramatic step up from last years' results, as I said. And it's probably among the more aggressively plans that this company has ever had before it. We are now, granted, we are a much bigger company, because our acquisition double the size of our work force, our engineering capability jumped considerably. But nonetheless we are very optimistic that we should grow substantially this year, and I was reserving it for my cloth, but I'll say now that, to make sense, the company has to be profitable, and we're not profitable, and I don't like not being profitable. And we're going to a position the company in '08, so '09 as a great year. I won't speculate on when it would be profitable, but my dream would be, that it would happen in this fiscal year and we certainly have a shot at it.
Larry Lytton: Skipping, forgetting revenues for the moment, I believe the fourth quarter we're talking about, $6.5 million of non-GAAP operating expense. Can one of you share with us what the run rate on non-GAAP operating expense should be on a quarterly basis going forward and looking at some of the hires you are looking to make should we be concerned that its going up, not down?
Len Perham: Actually, I'll answer the first part of that, while Jim gets his number together. I commented on the previous call that basically I am an all-operations guy, and I like to have revenue lead cost. And I was aware when I made my statements today that we look like we are adding a few people. Overall they are going to get very results joining it and very focused on turn this into [Murray Tucker], so to speak. And we may add a few people this year, but we probably will go at it by ranking our people one to ten and adding sensibly and carefully with a golden line to be moving our company in the direction of operating in the black. Another good point to bear in mind is, we now have a outstanding organization in Romania and an outstanding organization in Shanghai, and as we expand the company, it is unlikely we would expanse much engineering in the United States. So, we'll be taking the company internationally in order to be, able to develop the capability we need for the lowest possible price, and I don't think we lose anything with quality and capability by doing that. Jim, you want to comment on the numbers question?
Jim Sullivan: Yeah, specially, I did want to just touch on some of the items that were, as I mentioned during the script, items that we don't obviously expect to see recurring i.e. in G&A the bad debt expense we had a 200K. And then the onetime cost related to the CEO and CFO departures of 165K. And then in R&D, as we did for the third quarter, we had the full run rate for the Romania and Shanghai operations in there. We didn't have a 13-period bonus, which had caught us a little off guard in Q4. In addition, we did have a tape-out cost of approximately $350,000 for that front end DVD IP. And we're working ongoing forward trying to eliminate those costs by becoming a preferred provider with TSMC and have savings there. But I think the run-rate adjusting to those items will get back down to closer to where it was in Q3 to the extent we didn’t out some of the this tape-out cost. And then obviously in the plan we don't have a significant amount of coming on board and looking where possible to expand in lower cost locations.
Larry Lytton: So they both worked for Q3, so I know them me. So of that may be smartest process architecture I ever met -- certainly anybody back down to $5.5 million non-GAAP or was an extraordinarily?
Jim Sullivan: Conservatively close to that number, and we'll have some increases, because as I said, there will be some additional tape out cost, and as we get closer to deals on the MSHD analog products, they were additional cost related to that little more hardware-related, but certainly getting closer to 55 and versus 65.
Larry Lytton: Okay. Last question, then I'll get back in queue. You accelerated the stock buyback fairly aggressively in the quarter, if I understand correctly it looks like we've bought stock at price of well over $5 and did so fairly aggressively. The stock at 350 -- what is the philosophy at this point? Why aren’t you buying back, or why are you are or not buying back all those stocks you have created?
Len Perham: Initially I have to say we've been in the dark-out, blackout period, and we've been all the time to stock, its been down around under 4, I think, we probably have been prohibited from being in the market. And second point, would be we are only allowed to buy, I think, 10% or 15% of the total amount of trading in the market on a given day. And third, I am afraid that I am of the opinion that a high-tech company is well-advised to use its money to develop products and technology as opposed to buying its own equity, but I have to agree with you that if price is below $4, this is an incredibly good buy, so we may well go into the market and buyback some shares here in the very near future, when the window opens again.
Larry Lytton: It looks like your largest shareholder with, I don’t know, 15%, 20% of stake is trying to sell stock, if at least as seen by their latest 13G. Is that correct? And that would seem like a big opportunity to take some stock off the market?
Len Perham: Maybe you could tell me who my largest shareholder is?
Larry Lytton: All right. I think it's [Singleton Snyder], right?
Len Perham: Yeah. I think its Singleton Snyder speak [Singleton and  Snyder], I don’t know if they are selling in the market or not.
Larry Lytton: Well, you have got the look at the SEC documents, I think they just filed the other day.
Jim Sullivan: We will take a look at that.
Larry Lytton: Thank you.
Len Perham: Next question, please.
Operator: Your next question comes from the line of Chris Cheney of Stanford Group. Please proceed.
Chris Chaney: Thanks for taking my question. I just have a couple here. The Nintendo -- well, actually  when I look at the royalties for Q4, that includes royalties from the Nintendo generated partially in Q3 or all in Q4? And I ask you that because I am trying to get an idea of the trend that we might see from that customer in Q1, given that we are going to see probably a down tick in unit sales in Q1 seasonally and whether or not that would impact you in the same way for your Q1 royalties.
Jim Sullivan: Its difficult to say at this point, what we will see from Nintendo on that. We get the royalty report for, in the case of Nintendo, on a real-time basis for the quarter, and we won't see that until a couple of days after the end of the quarter. We're internally; we don't predict, we see it staying, certainly not increasing significantly in the quarter. We just don't have visibility as where it’s going to go in Q1.
Chris Chaney: Got you.
Len Perham: Chris, the question was, what quarter did we report royalty from the charges the fourth quarter?
Jim Sullivan: To the fourth quarter?
Len Perham: Fourth quarter only.
Chris Chaney: Okay. And I think that the, my observation would be that at the end of the holiday season and moving into the New Year, there was a huge shortage of a wheels to support the demand, and I can't tell how many that was, but I can tell by looking at what was happening in the way product was moved around and it appeared to me, that seems to me there was fairly, there was a built up demand. So I don't know how much it will be down and I've read, that the suite just sell seasonally any more that it's strong year around, and I believe the pundits are forecasting this year that the sales of that product is going to be up in the order of 25% to 30%. So in our royalty rates they're flat, and I don't think, it steps down any more, so I would be optimistic that over the course of the year, we will do okay.
Chris Chaney: Alright, okay. Now in the license revenue line of $308,000, how many customers does that include?
Len Perham: Fourteen.
Chris Chaney: Fourteen and are they all actually, okay that's fine. The mix signal product, Blu-ray and HD DVD you talked about, sounds like a pretty exciting opportunity, its sounds like you guys are very encouraged about it. When actually you just taped out a device, I guess, that’s probably we are going into the sampling or some stage like that, it’s packaging right now, but when would we begin to see the first revenue from that, you think sometime by mid-year, in late this year any idea of kind of when that might begin to impact revenues?
Jim Sullivan: I think the next key milestone for us is to take a look at these package units. We've developed some reference board, and some prototypes boxes they can run them. We have a partner that we're working with, its very knowledge about this particular market space. And I've said a couple of times, now, that we would probably have this product reasonably well characterized by the end of this quarter. And it will probably more appropriate to need a wait until our call in May to give a good answer to that. If we hit a home run, it wouldn't surprise me, if we talk about it doing something materially after next call. And yes, it's just an unknown, that product was designed before we made the acquisition, the track record of these two teams are extra ordinary good, everything is looking promising, but it will be a bit presumptions submit to speculate until I had just a little bit more data.
Chris Chaney: No, I understand that the license for this kind of products won't be just your average $200,000 to $300,000 a license that could be substantial somewhere near $1 million or more, is that still correct, is that the impact that we could see for something like this?
Jim Sullivan: I believe there is potential for that to happen, yes.
Chris Chaney: Okay. On the display driver, buybacks also sounds very interesting. Could you talk a little bit about the end applications of these display drivers going into is the mobile devices -- I am assuming and probably and is that 1T-SRAM or is 1T-FLASH?
Len Perham: This is actually the display drivers are in fact a unique configuration of a 1T-SRAM. And the best place to find is on anything you are carrying in your pocket and flick it opening, you see a display -- I think I am just making a wild there is display driving that thing just lit up on your phone and any other device you have that lights up when you call it out, so it’s a unique, its what I call an application specific array of 1T-SRAM block, and in this case, it's a simplistic compared to IDT, but its simplistic arrangement in a dual-port mode, and it has to operate at higher voltages, I think 12, 15 volts or something. So it requires some collaboration with the foundry to have that, to be able to have that high voltage in the process. And it requires some applications knowledge to know how to configure that particular building block. So I call it application specific, but my predecessor called it assistant solution macro, and I think that’s a good way to describe it as well. And the opportunities for it seem quite exciting right now. As I mentioned, we've got few orders already booked, one quite a large order, and we are in discussions with several other customers. And we are also in discussion with several foundries about bringing up this kind of a technology to be able to support that kind of a product.
Chris Chaney: Do the royalty rates on this kind of device compare it favorably to the rest of the, your  average but I think around 2% to 2.5%. Are they that percentage of ASP?
Len Perham: Probably just as well to say that they are in the same ballpark.
Chris Chaney: Okay. All right. I think last question on the tax rate. Any idea what we should be expecting, if when we are going on model for 2008, what sort of tax rate we should fit into that?
Jim Sullivan: Yeah, I would need to take a look more closely at that. But certainly we can address it on the next call.
Chris Chaney: Okay.
Operator: And your next question comes from the line of [Tony Petria] of [Track Suite]. Please proceed.
Tony Petria: Thank you, please proceed. Home Life, I heard you right, your right, on you're planning on increasing R&D. And was just wondering, expenditures, and I was just wondering if you could expound, maybe, what you sort of philosophy, what do you think the proper relationships, corporate levels of R&D are relational to revenue, because right now, it doesn't work?
Jim Sullivan: Well actually, you know, I guess I back up, and I say that I think, this company was founded by two extraordinary bright, very bright guys. They both worked for me, so I know them well. One of them was may be the smartest process architect I've ever met, and certainly anybody who know him would say the same thing, and the other guy is an extraordinarily good in mix-single design, and those gents have gone off now to do other things in their careers, and if we want to be the world's best at what we do, we need to have that level of challenge and capability here. But I just want to say again that I think that we have some room to bring people in and not dramatically move our prices, and I'm sorry, excuse me, not dramatically move our cost. I'm used to seeing R&D as a percentage of revenue at 25% or so percent, and I must confess that between royalty and license, I have a quite figured out in my mind what it should be, but I'll figure that out by studying my competitors and just looking around. I'm not inclined to run companies that don't make money, so I think we can manage that and still get to the place where we make money. So I would like to leave you with a thought that we need to add key people to make this company all that it can be, but we also need to make money, so I won't be taking my eye either one of those two objectives.
Tony Petria: Yeah, that's not real helpful on the short-term, how long do you think people should expect that be a negative relationship?
Len Perham: Well, I said that we’re optimistic that the company would make sense in the second half of this year, but for sure we expect that we’re going to be operating in the right place in 2009. And we’re putting a huge amount of effort into that. We -- this acquisition basically doubled the number of engineers, and we are a small company. So until we digest that and get all those guys working on things that are going to build value, and get to the winning the design and get to the prototyping stage and get to where the IP starts to generate really meaningful, not money, we’re going to be caught hold behind the curve, but our plan is aggressive, and I expect that we are going to -- I would like to think we’re going to post some decent numbers this year in terms of growth and so on and so forth. So, that is all I can tell you. I have only been here a quarter. I appreciate your unhappiness, but I can’t fix this in 15 minutes.
Tony Petria: No, I know. I think that to the extent you guys have just approved operating budgets, sharing them with the markets would be a good idea. And I would urge you to do that on the next call?
Len Perham: As soon as I can understand why a guy with an outstanding education missed it nine times in a row. I am just not good at telling you something that’s not going to happen. So right now, I haven’t quite figured out what I want to share in these calls. I have to be honest. I spend a lot of time on this, because I want a couple of other boards, and have had several companies to go public. And I’ve just got to figure out how this selling process and selling cycle works. So that when I tell you gentlemen something, you can take it to the bank.
Tony Petria: Well, this is your watch. That's water over the dam, as they say, and to the extent that you have built budgets, and then will be spending money on R&D, I think you should be comfortable that it’s going to produce the result that you want, and I think you should share with us what that expectation is.
Len Perham: I will give that some serious thought. I appreciate your advice.
Tony Petria: Okay. One more question, can you tell me what is in the long and short-term investments?
James Sullivan: It’s primarily money-market funds, auction-rate securities, and I think there may be in the long-term some bond. Some very high class bonds.
Tony Petria: Okay. Thank you. Operator And your next question is a follow up from the line of Larry Lytton. Please proceed.
Larry Lytton- Second Line Capital Management: Len, a couple of quick follow ups. You mentioned another board, and I think you’re particularly active in NetLogic. I think there is some concern on the part of shareholders that you’re spending 85% or 95% your time here. We would like you to be spending 120% of your time. I wondered if you can comment on that, in terms of some of your other activities in this direction?
Len Perham: If I could comment on what, Larry?
Larry Lytton- Second Line Capital Management: The fact that you’er active on some other boards, and this is a company that required amore than 100% time CEO?
Len Perham: Well, first off, I am probably working around 60 or 65 hours a week. I don’t think I went home before seven o’clock any time last week, and I was in my desk working this morning at quarter to four. I’m blessed with not needing very much sleep. And in regards to NetLogic, before that company did its IPO when it was a very young company, I was fortunate enough to hire a magnificent CEO and this young man [Ron Gancas], and he has done a great job running that company for a long time now. So, that company has come to take a very little bit of my time these days. In terms of my involvement with the ventures from AsiaTech Management, that is a very, very prestigious offset, and the lady that started that played a significant role in the entire venture capital industry in Taiwan. And she is able to be an enormous ally to the company, in terms of relationships of the foundries, and relationships with any kind of a business arrangement we would like to do in greater China. You could do no better than to have Katherine Jen sitting beside you. So I don’t consider that a deterioration or a problem. I considered that an enormous asset.
Larry Lytton- Second Line Capital Management: Yes.
Len Perham: Finally, I just wanted to go on record and I’m going to say, conservatively, I am working 60 or 65 hours a week, and I am going to leave for greater China on March 2 and I am going to stay there for nearly a month. And I will spend all 100% of that time working with our customers and partners in Japan, Taiwan, Shanghai and South Korea. And I’ll say in my closing, I expect to take three of those trips here, and I expect to be out of United States 30% of every year. So if you gentlemen, who probably in some cases have investors behind you, do that level of commitment, then you are measuring up to where I am. But you shouldn’t be worried about what I’m committed to this, because I’m not very good at losing and I don’t tend to lose here.
Larry Lytton- Second Line Capital Management: Okay. I appreciate that the answer, and that’s important. Len, I think you’re talking about, you are not forecasting, but you’re hoping that you could make money sometime in the second-half of 08’. And, just very simple math to do that, you would require a quarter with $8 million of revenue. Now that you’re not going to commit to that, but if you’re to make money, that’s what you need to drive?
Len Perham: I think, probably mathematically that’s right. That’s why I didn’t sign up for it to be sure.
Larry Lytton- Second Line Capital Management: But I guess what I’m asking is you may do that because mixed signal come in one quarter with the big licensing agreement. Is that your problem in the second half? I’m asking does that mean you’ve got to a point of sustainability or you just had the chips fall right in revenues on a spiky business?
Len Perham: When I got here, I might have touched on it earlier, when I got here, five or six key executives had left in a matter of six weeks. People had basically stopped working. The morale was pretty much on the floor, productivity was probably lying there right beside it. We didn’t do very well in new business last year, so our engineering teams were underutilized. We aren’t selling effectively to the entire universe that our customers and potential customers occupy. And, yet the intellectual property that drives this company looks very, very valuable to me. The system solution macros, those display drivers as well as the FLASH and as well as the mix signal stuff, all looks very exciting to me. So we have a lot of low-hanging fruit we can collect. Now, whether or not when I start collecting that low-hanging fruit, everything comes together and we can get this thing turned around in the fourth quarter of this year, I can only tell you that from quarter-to-quarter I think our story will become more and more interesting to listen to, and that before it’s very long, it will be worthy while to be part of the MoSys team. So I wouldn’t tell you I can do in six months, but we ought to be telling you interesting things out in the third -- end of the third quarter this year. That’s for sure.
Larry Lytton- Second Line Capital Management: Last question for this quarter. You talked about tracking 10 million of new business, I guess it’s mostly 1T-SRAM, what does that mean? That tracking 10 million of new business is not related to business currently being booked? That business that closes over the next 12 months? That businesses that closes over the next quarter? What is tracking 10 million of business mean?
Len Perham: Well, I told someone here recently on this call that I struggled with what it means not to provide guidance, but I had made the decision that I am not going to do that for a while. So I wanted to make the point to my shareholders that not only have we booked a couple of exciting orders already this quarter, we’re also tracking business across all of our business units that looks reasonably exciting and that amounts to an opportunity that could -- if we got all of it could be in and around $10 million. Now, some of that business is going to drop out, and some of this is going to materialize and some of this is going to push out of the third quarter and new deals will come in. But the point I want to make is before I got here, as far as I can tell, there was not an intense focus internally on tracking your customer, taking care of your customers and intensely looking at every single opportunity. And I have -- the inside of the company has already had a quite metamorphism in operating style and that I’m running sales, we get together for four hours every Monday. We get together again at the staff meeting, review it again. We get together at the end of week, review it again. And we’re going to start having things happen here that should result in a much better flow in new business and that we saw in 2007. And so I commented also that I’m not quite sure how I will ultimately provide, or what I ultimately provide to my listeners on this analyst call, if I’m not providing guidance. So today, I decided that I would just let you know that we are tracking a lot of business. There are a lot of opportunities before us. Some of them we won’t get, and some of them we will. And it amounts to quite an exciting number for a company our size, that was my point.
Larry Lytton- Second Line Capital Management: Okay. But I guess what I was confused about is, given where you want to go -- where we need to go, in a sense, I would think we’re tracking $40 million or $50 million of business, not $10 million?
Len Perham: I have been here one quarter.
Larry Lytton- Second Line Capital Management: Okay.
Len Perham: Rome wasn’t built in a day. And I wouldn’t want to tell you some -- I would never in my life tell you that. We are not there yet.
Larry Lytton- Second Line Capital Management: Okay. Thank you.
Operator: And you have a follow-up from the line of Tony Petria. Please proceed.
Tony Petria: Thanks. Just to understand what you were saying, Len, are you saying that if everything broke right, you could see $10 million of new business in the second quarter? Yes, in the second quarter?
Len Perham: I would think that would be a reaching out sum that will push out into the third quarter. I wouldn’t want you to take that. I had one point in mind. I guess you want to be very specific. What I want to tell you is that sales organizations are seeing a lot of opportunity. I would go further to say, the first time I had the sales meetings, there was almost no activity. We probably had 8 or 10 sales meetings now, and now the level of enthusiasm, the level of intensity that company has undergone is, in my opinion, a metamorphosis and there is a lot of excitement and lot of enthusiasm. We’re feeling good about ourselves and reaching out and doing more. So the only point I want to make is, I think maybe we booked something like 5 million last year something like that that we are tracking more than that right now.
Tony Petria: I guess that the question is whether that could mature over a year or over the quarter, and if it is the full-year, it’s going to be hard to get people excited. If it drops in a quarter or the bulk of it drops in the next quarter, I would agree with you, that’s something to be excited with. So it’s hard to understand what you’re saying.
Len Perham: Well, not if you run a sales organizations. If you get $10 million of business before you right now and --.
Tony Petria: I have department sales, Len, and to what extent are you guys projecting probable sales, possible sales cold calls. What does that $10 million mean? Is that probable sales? Possible sales?
Len Perham: We have 10 million customers, we're in significant discussions with -- we have enough customers or a significant number of customers that we’re in discussions that are far enough along for me to believe that there is some reasonable chance that we would get that business, and that that business would be worth more than, equal to, or around $10 million. Every week there are new ones, every week some of them pull in, some of them push out. When I go to take this trip, it’s like, no, no, he’s traveled from other companies. After that trip, there will be a more business opportunities coming our way. Sales guys are very good here, they are bringing in new deals every week. So I would think that we see $10 million of business opportunity for company that did 5 million last year, one quarter after I got here should give somebody some modest pause for optimism. But I could be wrong.
Tony Petria: Well, okay. Like people have said before, we’ve all been burned. So the proof of [ph] either bear out or not?
Len Perham: I understand. : Thank you.
Len Perham: Yes, thank you. Next question?
Operator: That does conclude the question-and-answer session. I’ll now turn it to Mr. Perham for closing remarks.
Len Perham: Okay. I’ll just have five quick points and perhaps some of them I’ve already touched on in the question session. First half, obviously fiscal year ‘07 was not a particularly good year for the company. It seems to me that starting in the second quarter things deeply trended down, and we didn’t get enough new business in here for reasons that I am never going to understand, because I wasn’t here. And so that would be my second point, that the first half of fiscal year ‘08 is going to be aimed at organizing, focusing, positioning the company. So we’ll have, hopefully, the second half and all of ‘09 to see MoSys returning to higher levels of success and higher levels of valuation and higher levels of respect in our community, and that we are able to absorb our new partners from Shanghai and Romania and start making really significant sense of the business for our shareholders. And the third point would be hopefully by the beginning of the third quarter, reorganization and team building will be complete. It’s my goal that I would be focused on customers, customer relationships, products and technology development by the third quarter, areas where I think I can really be a big help. And I’m driving very, very hard and we are talking to quite a number of people that fit into the organization here and there, and spending some time with some of the foundries, and on my upcoming trip I’ll spend more. But it is my goal that by the third quarter where I’m putting all my effort now, it’s tailed off a bit and I am focused on products, customers, relationships, and maybe new system solutions, new application specific solutions for our customers. My last point would be that I continue to be very optimistic for further prospects for the company, and I am looking forward to speaking with you folks again in the subsequent quarters, and hopefully we will develop a better rapport with one another, and you folks will develop some appreciation for what I’m doing and that Jim and I and the rest of the team will make you proud to be owners of our stock. And with that said, I would say thank you very much for coming on the call. I appreciate your interest even though you are a bit unhappy with this right now. And we look forward to talking to you again soon. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Have a good day.